Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's Titan Machinery Inc. Fourth Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] Hosting today's conference will be John Mills with ICR. As a reminder, today's call is being recorded. And now I'd like to turn the conference over to Mr. John Mills. Please go ahead, sir. 
John Mills: Thank you. Good morning, ladies and gentlemen. Welcome to Titan Machinery's Fourth Quarter Earnings Conference Call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer; Peter Christianson, President and Chief Operating Officer; and Mark Kalvoda, Chief Financial Officer.
 By now, everyone should have access to the earnings release for the fiscal fourth quarter and full quarter ended January 31, 2011, which went out this morning at approximately 6:45 a.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Titan's website at titanmachinery.com. This call is being webcast, and a replay will be available on the company's website as well. 
 In addition, we're providing a slide presentation to accompany today's prepared remarks. We suggest you access the presentation now by going to Titan's website and clicking on the Investor Relations tab. The presentation is directly below the webcast information in the middle of the page.
 Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Titan's most recently filed 10-K. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking statements that may be made in today's release or call.
 [Operator Instructions] The call will last approximately 45 minutes. David Meyer will provide highlights of the company's fourth quarter and full year results, a general update on our business and review our recent acquisitions. Then Mark Kalvoda will review the financial results in more detail. And Peter Christianson will discuss our segment operating results and our fiscal 2013 annual revenue, net income and earnings per share guidance range, along with our outlook modeling assumptions. Then we will open the call to take your questions.
 Now I'd like to open up the call to the company's Chairman and CEO, Mr. David Meyer. Go ahead, David. 
David Meyer: Thank you, John. Good morning, everyone. Welcome to our fourth quarter of fiscal 2012 earnings conference call. 
 As John mentioned, to help you follow today's prepared remarks, we have provided a slide presentation which you can access on the Investor Relations portion of our website at www.titanmachinery.com. If you click on the Investor Relations tab on the right side of the page, you will see the presentation directly below the webcast in the middle of the page. 
 On Slide 2, you will see our fiscal fourth quarter 2012 results. Our revenue for the fourth quarter was $607 million. Our pretax income was $29.6 million, and we earned $0.84 per diluted share. Our strong fourth quarter results reflected the momentum from a strong December that carried through to January 31, 2012, the end of our fourth quarter. 
 Looking at results for the first -- for the full year fiscal 2012, our revenue was $1.66 billion. Our pretax income was $73.6 million, and we earned $2.18 per diluted share. We are pleased to deliver another record year of revenue and net income results for Titan Machinery. 
 In the fourth quarter, our equipment demand was driven by a strong net farm income for calendar year 2011 and an improving construction market, enabling us to exceed our fiscal 2012 annual top and bottom line guidance. 
 I am pleased that since our IPO, our company has reported 14 consecutive periods of quarterly year-over-year revenue growth, demonstrating our ability to execute on our acquisition growth strategy, as well as our organic growth opportunity. This strong growth, combined with our consistent operational improvements, is also reflected in our bottom line results. 
 Now I would like to provide some color in each of our industries that are key to our business. On Slide 3, we provide an overview for our agricultural industry. A number of favorable factors benefited our Agriculture business in fiscal 2012, and we believe many of these will continue into fiscal 2013. 
 As we previously discussed, weather conditions across Titan's footprint in the fourth quarter of calendar year 2011 allowed farmers to prepare their fields for the current year production cycle. Mild weather conditions this spring have created favorable planting conditions, permitting early start dates and allowing all areas to be planted. The USDA has projected a larger increase in corn acreage in the 5 states served by Titan compared to the entire U.S., creating larger potential revenue per acre in our footprint. 
 The low projected global ending stocks are currently driving 2012 commodity pricing. USDA's most recent estimates, which were released in February, expect that net farm income will be $92 billion in calendar year 2012, which is significantly above the 10-year average of approximately $72 billion. While calendar year 2012's net farm income is projected to be 6% lower than the $98 billion in calendar year 2011, farmers continue to enjoy very solid and healthy income, allowing them to maintain strong balance sheets while providing excellent ROI opportunities for equipment purchases. 
 The 2012 accelerated depreciation tax incentives of $139,000, Section 179 incentives, and the 50% bonus depreciation are available to our Ag and Construction customers through December 31, 2012. It's important to remember that these tax incentives will not be eliminated for calendar year 2012. With the accelerated depreciation in recent years, our customers have very little bases left in their equipment and will factor this into their buying decisions in calendar year 2012 as they look for ways to offset current year income. 
 In summary, we believe that the strong operating environment for our customers will continue into the current year. We are excited to be participating in a very robust agriculture economy and are well positioned to capitalize on the opportunities presented by it. 
 Now turning to the Construction segment of our business on Slide 4. We've outlined an overview of the construction industry in our markets. Mild weather in our footprint allowed increased construction activity throughout the winter and is allowing our contractors an extended building period and is adding to their annual construction job backlog. 
 Our business is benefiting from increased energy industry activity, including coal, natural gas and oil. North Dakota now ranks third in oil production in the United States. As many of you are aware, several of the states in our footprint are capitalizing on the Bakken, Three Forks and Tyler oil formations. 
 In addition, recent oilfield exploration suggests that the Bakken formation may extend as well as far west as the Rocky Mountain Front in Montana. With our recent acquisition of the Colorado construction locations, we will expand our exposure to the Niobrara formation in Eastern Colorado and Wyoming. 
 The energy industry in our markets has a multiplier effect on the economy as it increases the need for additional infrastructure, expansion of new housing, as well as other support industries. Our agricultural customers continue to drive demand for our construction equipment to use in their farming operation, including feedlots, material handling, land improvement and land maintenance. 
 Our rental revenue has more than doubled compared to both the fourth quarter of last year and the full year 2011, reflecting increased rental demand. As part of our initiative to expand the rental business, we have been growing our rental fleet along with our rental specific operating personnel and expect this area of our business to continue to contribute to the Construction segment results in fiscal year 2013. 
 Even though we anticipate modest improvement in housing starts calendar year 2012 over 2011, we expect new housing starts to remain fairly flat through calendar year 2013 due to the current backlog of existing home inventory.
 Given these factors, combined with our expanding construction business footprint, we have increased our inventory on hand to support this growing demand and very excited about the long-term prospects of this segment of our business. We are pleased with the top and bottom line performance of our Construction segment, which gives us greater diversification in our overall business. 
 In fiscal 2012, we've generated $5.5 million in pretax income from our Construction business, which significantly exceeded our expectations that we outlined early in fiscal 2012. We are confident that our Construction business will be an important contributor for overall growth and profitability in fiscal 2013 and in years to come. 
 Turning to Slide 5. We are continuing expand the Titan Machinery footprint in both our core Upper Midwest market and the Eastern Europe through strategic acquisitions, as well as selective new store openings. 
 In fiscal 2012, we completed 10 acquisitions and one new store opening. Our fiscal 2012 acquisitions are across all of our growth platforms, our agricultural and construction and retail platforms, our rental platform and our international platform. 
 Looking at the fourth quarter, we completed 3 acquisitions consisting of 2 agricultural locations in South Dakota and Iowa and 2 agricultural locations in Romania as part of our first international expansion. Thus far, in the first quarter of fiscal 2013, we have completed 4 acquisitions consisting of one agricultural equipment location in South Dakota, 3 construction equipment locations in Colorado, one rental yard in Montana and 7 agricultural equipment locations in Bulgaria. We also opened one new agricultural equipment location in Romania. 
 We are excited to be capitalizing on the global agricultural opportunity by applying the Titan operating model and our expertise with CNH products, parts and service to our international locations. We are confident that our international dealerships will contribute to our growth for years to come. Also, it's important to mention that these new dealerships will not add material expenses or overhead to create this growth platform as we continue to focus on our core competencies in North America. 
 We are confident in our ability to continue to execute on acquisition strategy in fiscal 2013. While we will continue to evaluate strategic acquisitions and store openings abroad, our primary acquisition efforts will remain in our existing and contiguous markets in the United States. We continue to see a healthy acquisition pipeline of both agriculture and construction retail and rental yard locations throughout the entire Midwest, and we will make selective and strategic acquisition choices. 
 In summary, we are extremely pleased with our business in fiscal 2012 and are well positioned to deliver another strong year in fiscal 2013. 
 Now I would like to turn the call over to Mark Kalvoda, our Chief Financial Officer, to review our financials in greater detail. 
Mark Kalvoda: Thanks, David. Turning to Slide 6. Our total revenue for the fiscal 2012 fourth quarter grew 64.9% to $607 million with approximately 62% from organic growth and 38% from acquisition growth. All of our revenue sources contributed to this quarter-over-quarter increase. 
 Demand for equipment in the fourth quarter was very strong due to strong net farm income, as well as improvements in the construction industry. 
 We also benefited from a strong quarter-over-quarter increase in our rental business. The increase in our rental business reflects our initiative to expand this growth platform through strategic acquisitions and the investment in our designated rental fleet at our existing locations. 
 On Slide 7. Our gross profit for the quarter increased 65.4% to $92.8 million, primarily reflecting higher revenue. Our gross profit margin was 15.3% compared to 15.2% for the same quarter last year. 
 Our operating expenses as a percentage of net sales in the fourth quarter of fiscal 2012 improved to 9.9% compared to 10.5% for the same quarter last year. This decrease reflects improved fixed operating cost leverage across higher sales volumes, more than offsetting the increased expenses associated with supporting our expanded rental business. 
 Our pretax margins improved to 4.9%, which represents a 20-basis-point improvement over our strong fourth quarter of last year. 
 Earnings per diluted share for 2012’s fiscal fourth quarter increased to $0.84 compared to $0.57 in the fourth quarter of last year. 
 For modeling purposes, keep in mind that our weighted average diluted common shares outstanding increased 15.6% to $20.9 million primarily due to our May 2011 follow-on offering. 
 Turning to Slide 8. For the full year fiscal 2012, our revenue increased 51.6% to $1.7 billion. Organic growth represents 55% of the total revenue growth, and acquisitions contributed 45%. All of our revenue sources contributed to the increase with the large rental revenue growth reflecting our initiative to expand this platform. 
 On Slide 9. Our gross profit margin was 16.6% for fiscal 2012, an increase of 70 basis points compared to last year, primarily reflecting higher equipment margins and an increase in utilization of our rental fleet. 
 In fiscal 2012, our operating expenses as a percentage of sales decreased 20 basis points to 11.7%, primarily due to improved fixed operating cost leverage resulting from higher revenues. 
 Pretax margins improved 100 basis points to 4.4%, reflecting higher gross profit margin and lower operating expenses as a percentage of sales. 
 Earnings per diluted share was $2.18 in fiscal 2012 compared to $1.23 last year. 
 Turning to Slide 10. We provide an overview of our balance sheet highlights at the end of fiscal 2012. We have cash and cash equivalents of $80 million. Our inventory level was $748 million as of January 31, 2012, compared to $738 million as of October 31, 2011, and $430 million at the end of fiscal 2011. 
 I'd like to provide some additional color on the inventory build during fiscal 2012. Our inventory balance at the end of the fourth quarter includes $118 million of additional inventory from our acquisitions during fiscal 2012. New inventory, including acquisitions, increased $236 million from the beginning of fiscal 2012 to support increased equipment sales. 
 Peter will provide more detail on our fiscal 2013 revenue growth outlook. 
 Our used equipment inventory, including acquisitions, is up $58 million, reflecting trading activity related to our strong year-end new equipment sales. We also had $25 million increase in our parts inventory and service work in process, which is in line with our parts and service revenue growth. We are comfortable with our inventory levels, and we believe they are in line to support our fiscal 2013 outlook. 
 As of January 31, 2012, we had $41 million available of our $75 million total working capital line of credit and $183 million available of our $700 million floor plan lines of credit. In March of 2012, we increased our syndicated secured credit facility by an additional $100 million under our senior secured credit facility with our bank syndicate, bringing our aggregate capacity to $800 million. 
 Slide 11 gives an overview of our cash flow statement for fiscal 2012. When we evaluate our business, we look at our cash flow related to inventory net of floor plan activities, which is reported on our statement of cash flow as both operating and financing activities. When considering non-manufacturer floor plan proceeds in fiscal 2012, our net cash used for inventories was $89.3 million. 
 In our statement of cash flows, the GAAP reported net cash used for operating activities was $182.2 million. We believe including the non-manufacturer floor plan proceeds and the advances on contracts in transit as part of our operating cash flow better reflects the net cash flow of our operations. Making these adjustments, our non-GAAP adjusted operating cash flow used during fiscal 2012 was approximately $14.5 million. 
 A reconciliation of this non-GAAP measure is contained in Slide 11, which is posted on our website as part of this presentation. Our planned new equipment inventory build was the primary use of this cash used for operating activities in fiscal 2012. For the current fiscal year of 2013, we anticipate generating positive non-GAAP adjusted operating cash flow. 
 Now I would like to turn the call over to Peter to discuss our Agriculture and Construction operating segments in more detail and to provide our fiscal 2013 annual guidance. Peter? 
Peter Christianson: Thanks, Mark. Now turning to Slide 12. You'll see an overview of our segment results for the fourth quarter. 
 We're pleased with the improvements in both segments. Agricultural sales were $526.4 million, driven by acquisitions and organic growth due to the favorable Ag economy for our customers in the fourth quarter. We generated Ag pretax income of $30.4 million. This increase was primarily due to higher sales. 
 Turning to our Construction segment. We're pleased with the improvement in both our top line and bottom line results. This was driven by acquired growth, organic growth and the expansion of our rental business. Our Construction sales increased 120% to $97.8 million, underscoring the improving construction equipment market and increased rental revenues. We generated pretax income of $1 million compared to a pretax loss of $500,000 for the same period last year, reflecting our increased equipment and rental margins, as well as internal operation improvement. 
 Slide 13 shows our segment results for the full year fiscal 2012. Our Agriculture revenue increased 47.2% to $1.44 billion. And our pretax income increased to $74.4 million, driven by the same factors I discussed above for our fourth quarter results. 
 Our Construction revenue increased 82.9% in fiscal 2012 compared to last year. We generated pretax income for our Construction business of $5.5 million compared to a pretax loss of $3.5 million last year. We're very pleased with the turnaround for our Construction business and are confident that we will continue to generate solid results for this segment going forward. 
 Turning to Slide 14. This shows our same-store results for the fourth quarter of fiscal 2012. Our overall same-store sales increased 40.8%, highlighting strong year-over-year improvements in both segments. 
 The improved Agricultural same-store sales of 38.1% for the fourth quarter of fiscal 2012 are reflective of the continuation of the strong agriculture economy, and the results reflect the momentum from a strong December that carried through to January 31, 2012, the end of our fourth quarter. 
 Our fourth quarter fiscal 2012 Construction same-store sales increased 61.1%, ahead of our expectations that we outlined on our third quarter call. This improvement underscores our operation improvements in this segment and the improved construction equipment market. 
 For the fourth quarter of fiscal 2012, overall same-store gross profit increased 37.5% year-over-year, reflecting higher sales and increased gross profits associated with the expansion of our rental business. 
 Slide 15 shows our same-store results for the full year of fiscal 2012. Our overall same-store sales increased 29% compared to last year, driven by increased same-store sales for both business segments. 
 In fiscal 2012, overall same-store gross profit increased 30.9%. Our Ag same-store gross profit increased 25.2%, and our Construction same-store gross profit increased 57.4%. 
 For modeling purposes, it is important to remember that we calculate same-store sales by including stores that were with Titan for the entire period in which we are comparing. In other words, only stores that were part of Titan for the entire 3 months of the fourth quarter of fiscal 2011 and the fourth quarter of fiscal 2012 are included in the fourth quarter same-store comparison. 
 In the fourth quarter of fiscal 2012, a total of 24 locations were not included in our fourth quarter same-store results, consisting of 14 agricultural stores and 10 construction stores. In the full year fiscal 2012, 25 locations were not included, consisting of 15 agricultural and 10 construction stores. 
 Now turning to Slide 16. You'll see our fiscal 2013 annual guidance. We anticipate achieving revenue for the full year ending January 31, 2013, in the range of $1.95 billion to $2.1 billion. Net income attributable to common stockholders is expected to be in the range of $53.8 million to $58 million, resulting in an earnings per diluted share range of $2.55 to $2.75 based on estimated weighted average diluted common shares outstanding of 21.1 million. 
 When modeling our business for fiscal year 2013 forecast, we expect our Ag same-store sales to be in the range of 3% to 8%, and we expect our Construction same-store annual growth to be in the range of 18% to 23%. 
 We expect our equipment margins will improve to approximately 10.4%. 
 Before we take your questions, I'd like to conclude by thanking our employees for all their hard work and thank our valued customers for their continued support. 
 Operator, we're now ready for the question-and-answer period of the call. 
Operator: [Operator Instructions] And we'll hear from Brent Rystrom with Feltl. 
Brent Rystrom: Great numbers. A couple of quick things. First of all, I've been visiting a lot of your stores the last week, and your salespeople and general managers are telling me that they're getting a lot of traction with the fuel efficiency of these new Tier 4 engines. Any particular comment on that? 
David Meyer: Well, I think it's in line with the preliminary Nebraska test where they're actually seeing some really good fuel economy savings on these engines. So yes, we think it's a real positive, and I think CNH has got the right Tier 4 solution. And we're just riding that bandwagon, Brent. So yes, it's been really positive. And if the price of fuel keeps going up, our farmers are really telling us, our customers are saying, yes, they're bringing some big savings back every time they go to that fuel tank. And the most important thing about this technology too is the good performance, as well as the power that we're seeing these tractors with this Tier 4 technology. So it's a positive all the way around. 
Brent Rystrom: And from the perspective of the green tractors starting to see in the used lot, I would imagine that's a reflection of that, that bringing in a different brand to get the better fuel efficiency? 
David Meyer: Yes. Like I said, I think our growers are really seeing the advantage of our SCR technology and what that's doing for both power and the fuel efficiency. And we've got some good products out there right now on a number of fronts. So I think that's why you’re seeing some of that happen out there, Brent. 
Brent Rystrom: All right. And then another quick thought, and then I'll jump back into the queue. But we're seeing a lot of data coming out about harvest issues in the CIS countries. Particularly the combine technology is essentially 30 to 40 years old. So even when they have great grain crops, they have a huge inability to get all that grain in, harvested and shipped. That has got to play very, very well into what you're doing in Romania and Bulgaria, I would assume. 
David Meyer: That's one of the potential growth areas, Brent, because they can see the results immediate. If they bring this new technology from North America in there when they're harvesting their crop and they have existing old technology in the same field or the same operation, they can see the results. And so that is one of the areas that definitely has potential for us as we build that business over there. 
Operator: And now we'll take a question from Robert McCarthy with Robert W. Baird. 
Robert McCarthy: First thing I want to ask you about -- congratulations on a great quarter. I wanted to ask about the fourth quarter results on the Construction segment. If you compare them with the third quarter, your revenue is up substantially, yet pretax profit is down compared with third quarter numbers. Could you talk about the dynamics behind that? 
Peter Christianson: Well, the revenue is being driven primarily with our mild weather. We were able to have lots of these -- contractors were able to run all through the winter. And I think you can probably look at sales mix being the primary driver on the second part of the question. 
Robert McCarthy: Meaning -- help me out, Peter. 
Peter Christianson: Seasonality with your rental fleet. And the rental business has got a higher margin associated with it. And so during that quarter, we see -- historically, we see that being a lighter quarter on rental side of it. And so I think sales mix is driving that. 
Mark Kalvoda: I was just going to add to it, too, Rob. Just with the parts and service business in the winter time, it's a little bit lighter on that fourth quarter as well. So there’s a little less of that higher margin business. 
Robert McCarthy: Right. Okay. So mix all around. And my second question, Mark, I wonder if you could remind us of how volume bonus payments affected comparisons in the fourth quarter. 
Mark Kalvoda: Yes. So we get the volume bonuses that are paid out pertaining to incentives related to market share and the like in the fourth quarter. Typical -- it's very similar to last year compared to this year as far as the timing of that. And just as our business is bigger, that payment becomes -- it's a little bit larger as well. But for the most part, it's in line with what we had in the previous year. 
Robert McCarthy: So can I infer from that, Mark, that it didn't really have any influence on the gross margin comparison year-to-year? 
Mark Kalvoda: Yes. You can look at our equipment margins quarter-over-quarter, fourth quarter this year, fourth quarter last year, and they're very similar. 
Operator: And now we'll hear from Steven Dyer with Craig-Hallum. 
Steven Dyer: Congratulations on the outstanding results. Just was wondering if I can get maybe a couple of observations. I know you haven't been in Europe that long, but any commentary on what you've seen so far and the opportunity there? 
Peter Christianson: Yes. We are getting our operating model installed over there, and we think that we're on our way to having the operations grow and develop. And we just see a lot of potential for those businesses. And so we'll be reporting that as we go through this year. 
Steven Dyer: Okay. And I know as you look out, your guidance always includes some level of assumed acquisitions, and I know you're not going to give the number. But just anecdotally, how do you think about the acquisition pipeline this year maybe relative to the last couple? I mean, is it on par? Could it be a very big acquisition year? How do you see things shaking out? 
David Meyer: Well, we're optimistic, Steve, with what's going to happen this year. If you remember, this is -- we still have 50% capital gains in this calendar year of 2012, which I think is playing heavily in a lot of people's minds. We're continuing to keep pricing discipline. We're optimistic. So I mean, the timing is going fluctuate a little bit on that. But at the same time, this is a very robust pipeline. And there's a lot of interest out there. I spend a lot of time every day talking with other dealers and back and forth and a lot of associations and committees and stuff I’m on. And there's a lot of interest. The demographics still haven't changed. There's people looking for succession solutions out there. The sophistication of the business has really changed a lot, the capital needs. So if you combine all of those things here, it bodes for a very optimistic time, acquisition climate out there. And the pipeline, I would say, is probably as fast-moving as I've seen it in a very long time. So... 
Steven Dyer: Okay. And then just one more, and I'll hop back in. Mark, I think you said used inventory was up $58 million in the course of the year. Can you give me absolute numbers, kind of new used parts? Would you split those out? 
Mark Kalvoda: As far as -- you're asking for ending balances for those? 
Steven Dyer: Yes, yes. 
Mark Kalvoda: Yes. The ending balances, Steve, I don't have it right with me. But the ending balances, we can see right in the -- in our 10-K that's reported today, that we're filing today. 
Operator: [Operator Instructions] We will now move to a question from Rick Nelson with Stephens. 
Rick Nelson: You have my congratulations as well. I'd like to ask you about the sales strength in the fourth quarter and how you think the changes in the depreciation schedule played into that, if you could talk about November, December and maybe what happened in January. 
David Meyer: Well, we said in our call before, if you look at our growers out there right now, they don't have a lot of depreciation bases left in their equipment fleet right now because of the -- we've had a number of years of some of this accelerated depreciation. At the same time, they’re seeing income levels that they haven't had in a long, long time. So the combination of both of those, they're looking for as many tax breaks they can get. So obviously, they're going to buy equipment to take advantage of the accelerated depreciation. But another way to look at that, too, is historically, they're used -- for years and years and years, they were very used to a straight line 7-year depreciation schedule. And their bankers and their consultants and their tax planners have encouraged all these growers, "Make sure you're maximizing that equipment depreciation." So they would be buying that stuff continually so they'd be up to that. So we really see a long runway just to get back to any normal depreciation level. So we've got some good positive. And like I say, the $139,000 Section 179 this year, the 50% bonus depreciation, is going to help. But even without that, we really think there's going to be equipment purchases for years to come just to get back to some normal levels of basis in their depreciation schedule. 
Rick Nelson: Got you. And the same-store sales guidance for the new year, 3% to 8% in Ag and 18% to 23% in the Construction, is that something you're seeing in the first quarter, which I guess ends in about 20 days? 
Mark Kalvoda: Yes. Well, we don't give quarterly outlook. But really, we're basing it on our annual modeling so that we can have the weather play where it can move revenues from one quarter to the other quarter. I would say that last year, during our first quarter, we had the impact where we had some flooding, and it was kind of a delayed spring planting season, where this year, we've had mild winter. We had great weather last fall for the guys to get their fields prepared. And so this year, with the mild weather, we see a much earlier planning season going on, and so that probably puts our -- it looks like the seasonality factor on our year is looking more in line with this 3-year average rather than last year where you saw an impact that they weren't able to go out and farm right away, so they were doing more of that business with us rather than out in the fields, where this year, they're farming. 
Operator: We will now hear from Robert McCarthy with Robert W. Baird. 
Robert McCarthy: Like a bad penny, I wanted to ask a couple of questions about your outlook for the year. Would it be fair to say that you are projecting the other segments -- I'm calling it a segment, but -- as opposed to equipment parts and service, would it be fair to say that you're expecting that product line piece to grow faster than your overall construction equipment same-store sales forecast? 
David Meyer: Yes, Rob. That's what's been going on for the last fiscal year that we just got done reporting on. And you kind of saw the impact that, that helped the Construction segment on their margins. And so we will -- we are thinking about our rental business growing faster than the rest of our segment. 
Robert McCarthy: Okay. And similarly, even though the European locations won't be in your same-store sales growth comparisons, would it be fair to say that you expect growth in those markets as compared with their own base of business would be faster than the 3% to 8% that you're using for the same-store sales growth forecast? 
Peter Christianson: Yes, Rob, that's right. If you look at -- when we do acquisitions, we give the historical revenues that we're acquiring. And when we look at those historical revenues versus what we anticipate as the operators of those businesses, we see stronger growth than that 3% to 8%, correct. But overall, when we look at the impact or the significance of those international operations, they're very small relative to our total operating platform. 
Robert McCarthy: Of course, of course. And the other question I wanted to ask about was I wonder if we could just get an update from you on the progress with the ERP rollout. A lot of interest from investors on how soon the European operations will be on that system, for example. 
Peter Christianson: Yes, Rob. We are, right now, gearing up for rolling the ERP out to -- across all of our stores on our after sales product support. And we've had the ERP in effect since the fall of 2010 and -- for our financials. And so right now, we have -- 5 of our locations are currently running on it. And we're in full swing to do the rollout during this year. We'll see how that progresses. And as we get operating experience with that out in our stores in North America, that will determine when we implement that over in the overseas operations. We'd like to do that this fiscal year though. 
Robert McCarthy: Okay. Can I -- or would it be fair to say that based on your experience now with the 5 test stores that you feel you've got the bugs worked out, the kinks work out? Or do you still have a little bit of work to do? 
Peter Christianson: Well, with ERP, there's always room for some improvement. But we're confident that we have the ERP to the build-out to the point that we can roll this out across our stores. And what that does is that really gives us the ability with our information systems to scale with our growth of our company. And so we look forward to getting that rolled out into all of our stores. 
Operator: [Operator Instructions] We'll now take a follow-up from Rick Nelson with Stephens. 
Rick Nelson: Follow-up on the same-store sales guidance again, the 3% to 8% in Ag, how that might breakdown between pricing and volume. 
Peter Christianson: Well, we don't get into that on our outlook. But historically, you've probably seen up to half of that on price. We'll see how the transactional prices go throughout the year. 
Rick Nelson: Also, the Construction segment looks like it fell slightly below your forecast for the year. Same-store sales were well ahead. Do you have an outlook, I guess, for the new year, what's baked into the guidance in terms of profits from construction? 
Peter Christianson: Yes. We feel good about that segment. And earlier, in one of the questions, we talked about the fact that we see the rental business growing more than the overall segment growth, and that's a higher margin business. So we feel like that's going to be a good contributor. And we turned the corner last year, and we see that trend continuing this year. 
Rick Nelson: Got you. And the rollout plan for the rental business seems like a great business with big operating margins and no need for approval for CNH. Where are you today? And what do you see as a long-term opportunity for rental? 
David Meyer: Well, if you look at our markets, Rick, the potential out there is about at the same level as it is in the whole retail business. So what we've done over the last 12 to 18 months is we put the personnel in place, we put the organization, the infrastructure so we're running parallel businesses with our retail business, also in the rental business. And the nice thing that we have is some of the synergy we can have, we can run out of the same location. So you've got your facility. You've got your people answering the telephone. You've got the support structure there. You've got the CRM, the contact. So we think it's a win-win out there. And we've invested in that. And we think there's a big opportunity out there, and we're really positioned to take advantage of that. 
Operator: Now moving to a question from Tom Varesh with M Partners. 
Thomas Varesh: Just a question on equipment availability. Can you comment on what you're seeing on that front? I mean, you've got a strong level of inventory going into this year, but are there any issues with equipment availability at all? 
David Meyer: Well, if you compare that to last year, just roll the clock back a little bit, with the tsunami in Japan and stuff and all of a sudden, there were component issues across the board. It might be one little piece, but it might keep the whole tractor combine from coming off the production line. So I think all that's behind us a little bit. So from the manufacturing standpoint, they've got a fairly good pipeline of all the components here for the production side. So we're forecasting aggressively in our business. And our store managers and stuff have stepped up. And we've gone in there, and we're in the pipeline with the slots, order slots. We did a good job of pre-selling equipment last year, which helps that situation. So I think if you can see by inventory numbers, we’re in good shape. The manufacturers seem to be geared up to get it out to us. We don't see the issues we had last year from the Japanese suppliers and from the component standpoint. So if you combine all those things, I see good availability of equipment. There are certain products here and there that -- quad track forward [ph] drives a little bit tight, and there's some of these things. But we’ve planned for that. And we're getting into the system. And like I said, we're pushing hard on the pre-sell side of our business. So you combine all of those things, and I feel better this year than we did last year on the equipment availability side of it. 
Rick Nelson: If I'm thinking of the Construction segment, is the better equipment availability that you're seeing from your manufacturer helping you vis-à-vis your competitors, which may still be having some issues with availability? Are you seeing that and benefiting from that at all? 
David Meyer: Well, I think all the manufacturers are gearing up pretty good. It’s nice that the industry is picking up. And they're forecasting for greater amounts, and they're definitely making more equipment now than they were last year or the year before. So I think they think that this industry is -- this sector has bottomed out, it's starting to move ahead. And the manufacturers are all gearing up for it, and I would say there's not one probably more so than any of the other ones. But it looks good across the board, across the whole sector, across the whole industry. 
Operator: And ladies and gentlemen, that will conclude today's question-and-answer session. I will turn the call back over to David Meyer, CEO, for closing remarks. 
David Meyer: I want to thank everybody for your interest in Titan Machinery and look forward to updating you on our progress in June. We'll also be attending a number of investor events and look forward to seeing you during the next few months. Have a good day, everybody. 
Operator: And with that, ladies and gentlemen, that will conclude your conference for today. Thank you for your participation.